Operator: Ladies and gentlemen, welcome to SAP's first quarter results conference call. This call is being recorded. Today’s call will be hosted by Henning Kagermann, Leo Apotheker, and Werner Brandt. I will now turn the call over to Stefan Gruber. Please go ahead, sir.
Stefan Gruber: Good morning or good afternoon. This is Stefan Gruber. Thank you for joining us to discuss SAP's first quarter 2007 results. I am joined here in Walldorf by Henning Kagermann, Leo Apotheker, and Werner Brandt. Werner will discuss the Q1 financials in detail. Leo will comment on the current business environment and our regional performance, and Henning will then provide some further in-depth commentary on the quarter and SAP's product successes. Before we start with the call, I would like to remind everybody about SAPPHIRE Atlanta taking place next week. They will host an investor conference on Tuesday, and then SAPPHIRE Vienna taking place May 14th and May 15th that will focus on product-related sessions only. In addition, I will make a few remarks about forward-looking statements. Any statements made during this call that are not historical facts are forward-looking statements as defined in the U.S. Private Securities Litigation Reform Act of 1995. Words such as anticipate, believe, estimate, expect, forecast, intend, may, plan, project, predict, should and will, and similar expressions as they related to SAP, are intended to identify such forward-looking statements. SAP undertakes no obligation to publicly update or revise any forward-looking statements. All forward-looking statements are subject to various risks and uncertainties that could cause actual results to differ materially from expectations. The factors that could affect SAP's future financial results are discussed more fully in SAP's filings with the U.S. Securities and Exchange Commission, including SAP's annual report on Form 20-F for 2006, filed with the SEC on April 3, 2007. Participants of this call are cautioned not to place undue reliance on these forward-looking statements which speak only as of their dates. With that, I would like to turn the call over to Werner.Werner Brandt: Thank you, Stefan. Let me begin by saying that we are pleased with our first quarter results, which saw a solid increase in software and software-related service revenue. For the remainder to the year, you should expect seasonality in software and software-related service revenues to be consistent with the past few years. From 2003 to 2006, we experienced the following seasonal patterns: Q1, 20% to 21%; Q2, 22% to 23%; Q3, 23% to 24%; and Q4, 33% to 34%. Before I begin to cover the highlights of our results, let me touch on a few things. First, I want to mention again as a reminder to everybody our new income statement reporting structure, which we already disclosed to you in our fourth quarter 2006 report to provide additional transparency for new revenue streams. Secondly, I want to talk about the year-over-year change in exchange rates. The Euro strengthened significantly against most of the major currencies, causing a currency headwind for SAP. Here are some key matrices: U.S. dollar to Euro, plus 9%, so the Euro strengthened from 1.20 to 1.31 from Q1 2006 to Q1 2007; Yen to Euro, plus 11%; Canadian dollar to Euro, plus 11%; and Australian dollar to Euro, plus 2%. Currency has the following impacts on our P&L: a negative effect of EUR101 million on total revenues; a positive effect of EUR68 million to operating expenses; and a negative effect of EUR33 million on operating income as a consequence. Thirdly, as you recall, from the fourth quarter of 2006 we disclosed that SAP accommodated a U.S. customer with a modification of contracts signed between ourselves and this customer prior to 2006, actually in the years from 1997 to 2005. In the first quarter of 2007, we reinstated in software revenue EUR19 million of the EUR31 million reduction from the third quarter of 2006. We do not expect to recover any further amount in software revenue. Let me now continue with the quarter’s results. Software and software-related service revenues for the first quarter of 2007 were EUR1.5 billion, which represented a year-over-year increase of 15% at constant currency. The increase was a result of a year-over-year increase of 16% in software revenue at constant currency, a constant currency year-over-year increase of 12% in support revenues, and a constant currency year-over-year increase of 70% in subscription and other software-related service revenue. Of the latter, we signed one subscription deal in the first quarter. For the full year 2007, we expect subscription and other software-related service revenue to be in the range of approximately 2% to 4% of software revenue, software and software-related service revenues, as indicated already in January. Support revenues were flat compared to the fourth quarter of 2006, due to: number one, some positive effects in the fourth quarter of 2006. This positive effect is mainly due to reversals of sales allowances and concessions; number two, a negative currency impact due to changes in exchange rates; number three, in addition, we again reviewed our accounts receivable from the 2007 annual maintenance invoices in regard to collectability and we have set up sales allowance for probably concessions and credits to our customers, as always, in the first quarter. This is a typical first quarter maintenance revenue and we had, as I mentioned before, a very similar pattern over the last several years. First quarter professional service and other service revenue was EUR640 million, representing a year-over-year decrease of 1% but an increase of 3% at constant currency. Consulting revenues were down 3% in the first quarter but increased 1% at constant currency. In the first quarter, we had lower available utilization rates, the largest decrease coming from the Americas region. Operating expenses increased by EUR101 million to EUR1.7 billion, or 6% year over year. The higher operating expenses are mainly the result of additional personnel. We hired 3,847 FTEs since the first quarter of last year. R&D expenses increased 9% for the first quarter and represented 16% of total revenues compared to 15% of total revenues for the first quarter of last year. The increase in R&D was the result of additional personnel. We hired an additional 1,287 FTEs compared to last year’s first quarter. Of that total, 699 or 50% were hired in local locations. Sales and marketing expenses increased also by 9% for the first quarter and represented 22% of total revenues compared to 22% of total revenues in last year’s first quarter. The increase in sales and marketing was again mainly due to additional headcount, especially in the sales arena. At the beginning of the year, we spoke about accelerated investment for our new business centered around new mid-market solutions, code named A1S. We stated that we would keep your apprised of the spending specifics in this initiative. Therefore, operating expenses related to the new business for the first quarter totaled EUR23 million. Operating income was EUR433 million for the first quarter, representing an increase of 6% compared to the first quarter of 2006. The operating margin for the first quarter was 20%, which was flat compared to the same period last year. A flat operating margin can be summarized and detailed as follows: the software and software-related service margin was 81% for the first quarter of 2007, which is an increase of 30 basis points compared to the first quarter of last year; in the first quarter, there was an increase in purchased licenses, along with a slight increase in support costs; professional service related margin was 21% for the first quarter, which was down 70 basis points compared to the same quarter last year. The decrease was mainly the result of an increase in consulting personnel and response to demand for new and existing projects and lower billable utilization rates, as it takes some time, several months, before new hires can become productive. We expect the professional services and other services margin to come back to a normal level as the year progresses. As a result of the mixed margin performance in product and services, our 2007 first quarter gross margin increased by 130 basis points to 63.1%. For the first quarter 2007, net income rose 10% to EUR310 million, or EUR0.26 per share. Our effective tax rate for the quarter was 33.5% compared to 34.1% in the first quarter of last year. For the full year, we expect a tax rate of 32.5% to 33%, as already indicated in January. For the first quarter, primary use of cash flow included approximately EUR339 million used for share buy-backs, as well as additional funds used for investments in corporate bonds. We continue to plan to use cash for future dividends, payments, further dividend payments, fit-in acquisitions, and share buy-backs. For the first quarter, we bought back 9.6 million shares for a total of approximately, as mentioned before, EUR339 million. At March 31, 2007, treasury stocks stood at 58 million shares, which included the release of approximately 600,000 shares from treasury stock during the first quarter. Given the company’s strong free cash flow generation, we will further evaluate opportunities to buy back shares in the future. Year-over-year headcount increased by 3,847 FTEs and by 1,139FTEs in the first quarter of 2007. At the end of the first quarter, total headcount stood at 40,494 full-time equivalents. We are still targeting to hire 3,500 FTEs net for 2007. Of the 1,139 FTEs hired in the first quarter, 25% were hired in local areas and roughly 38 employees came through acquisitions to SAP to date. Let me finish up by saying we have not changed our outlook for 2007. Please refer to the press release issued today for the complete outlook. I would now like to pass it over to Leo.
Leo Apotheker: Thank you, Werner, and I am pleased you could all join us today. Let me begin by discussing the market environment. The environment remains unchanged as pricing is still very competitive. As you can see by the results for the quarter, customers however are buying software, meaning that the demand is there but buying decisions continue to be made prudently. In the midst of all of this, we continued to win a large majority of the competitive deals. We won 78% in the first quarter against our next largest competitor. This demonstrates the superiority of our products, our technology and our people, and the strong acceptance of the transparent product roadmap and vision we continue to provide to our customers. Our customers are making a very clear choice on who they trust as their software solution partner. Another success continues to be our safe passage program. We have signed up a total of 544 customers through safe passage. This represents a 121% increase compared to the first quarter of last year. Some key safe passage wins in the first quarter include Alaska Milk Corporation, Bobst SA and INFRA S.A. Let me now provide you with some additional customer metrics for the first quarter. In the first quarter, order entry in the pipeline remained strong and the number of new contracts signed increased 15% year over year. The share of new customers based on order entry was 24%, but as we continue to sign more deals with mid-market customers, it is also important to talk about the share of new customers based on number of contracts, which was 31%. Deals greater than EUR5 million accounted for 19% of order entry in the first quarter, down from 33% in the first quarter last year, while deals less than EUR1 million accounted for 44% of order entry, up from 38% in the first quarter of last year. The strength of our vertical solutions is one competitive advantage that really sets us apart. What is unique about vertical solutions is that it is quite difficult to buy your way into an industry. Rather, to succeed it demands years of knowledge and experience to understand the business processes of the many different industries and then develop and enhance your vertical solutions to make your customers successful. Our nearly two decades of developing industry solutions, of which we now have 28, is the reason we have become the clear leader in providing deep vertical expertise to our customers. In fact, of the 28 industry solutions for which we provide end-to-end business processes, we are number one worldwide in almost all of them. Based on software and software-related service revenues in the first quarter, we had strong performance from the consumer, discrete manufacturing, and financial services industries. For the mid-market, which we define as companies with less than $1 billion in revenue, or less than 2,500 employees, we reported that for the first quarter of 2007, on a rolling four quarter basis, 31% of order entry came from this segment. Let’s now take a look at the regional performance. We reported double-digit growth rates in each region based on software and software-related service revenues at constant currencies. The [inaudible] countries also performed extremely well, with strong double-digit growth rates in most of these countries. Software and software-related service revenues in EMEA were up 10% at constant currencies, Germany reported growth of 4%, while the rest of EMEA was up 14% at constant currencies. Based on software revenues at constant currencies, EMEA was up 9%. Superior performances came from the U.K. and Switzerland. Key contract wins in the EMEA region were Service Birmingham Limited, Deutsche Lufthansa AG, and Grundfos Management A/S in Denmark. The Americas region bounced back quite significantly from the fourth quarter of 2006, reporting constant currency growth of 22% in software and software-related service revenues. In the U.S., the growth rate was 24% at constant currencies while the rest of the Americas grew 18% at constant currencies. Based on software revenues at constant currencies, the Americas was up 22%. Key contract wins in the Americas region included the Commonwealth of Kentucky, the Manitoba Company Inc., and Diblo Corporativo, S.A. in Mexico. Software and software-related service revenues in the Asia-Pacific Japan region increased 10% at constant currencies. Japan was up 6% at constant currencies, with the rest of the Asia-Pacific Japan region reporting 12% growth at constant currencies. Based on software revenues at constant currencies, Asia-Pacific Japan was up 16%. Key contract wins in the Asia-Pacific region were KOBE STEEL Limited, Fittec Electronics Company Limited, and The Hong Kong and China Gas. Now I would like to pass it over to Henning.
Henning Kagermann: Thank you, Leo. I am pleased to say that we have reported another quarter of double-digit growth at constant currencies. The strength in software and software-related service revenues is supported by our continued strong performance in software revenues, which was up 16% at constant currencies in the first quarter, and strong growth in subscription and other software-related service revenues. This continued growth leads to additional share gains for our company. At the end of the first quarter, our share, based on the $34.8 billion core enterprise application software market, was 25.1%, representing an increase of 0.6 percentage points compared to the fourth quarter and an increase of 2.4 percentage points compared to the first quarter of 2006. Let me now take a brief moment to comment on the recent lawsuit filed by Oracle against SAP. SAP has a long legacy as a company with an unparalleled reputation as a trusted advisor and highly regarded partner with its ecosystem of customers, partners, shareholders and employees. SAP believe in the importance of intellectual property rights. As we have stated before, we will aggressively defend against the claims made in this lawsuit. SAP and TomorrowNow are actively engaged in legitimate competition by providing high quality third-party enterprise software maintenance and support services for customers running [GDNetworks], PeopleSoft, and [Barn] applications who have reached the end of standard maintenance under their contracts with Oracle. TomorrowNow’s business success is all about customer choice. This lawsuit demonstrates that Oracle is trying to limit customer choices by trying to discredit their competition. Now I would like to touch on a couple of important items -- our growing ecosystem of ISPs and partners, our established business, including two emerging product areas, and an update on our new business that incorporates our new mid-market solution, codenamed A1S. One area that sets us apart from the rest of our competitors is a successful ecosystem, our successful ecosystem that will help drive our business process platform into the market. As the ecosystem continues to grow, it will be self-reinforcing to help attract even more customers and partners to our platform. Our success today has been driven by successful co-innovation with partners and ISVs and our unique and distinction industry networks, enterprise service communities, and business process expert communities, each community existing of customers and partners having diverse functions and goals to help bring continuous enterprise SOA based innovation to our business process platform. To date, we have seen strong growth in these three distinguished networks and communities. The number of industry value networks currently stands at eight. The number of business process expert community members are currently at 100,000. The number of enterprise service community member are at 170,000, and the number of members in the SAP developer network currently stands at 730,000, up 82% year over year. Finally, let me discuss our established and new business. For our established business, we remain right on track to complete our roadmap with the entire business suite expected to be on the business process platform by the end of this year. Thus far, we have delivered over 1,000 enterprise services and we will continue to deliver additional enterprise services throughout the year. Adoption is moving along well with over 8,500 SAP ESP customers, of which over 4,800 are productive, up 122% compared to the first quarter of 2006. NetWeaver sales were EUR156 million in the first quarter, representing an increase of over 40% year over year. The total 30% represented standalone NetWeaver sales. This, along with the strong growth in our software and subscription revenues demonstrates that the established business continues to prosper. Two emerging products that I want to mention briefly are our corporate performance management and governance and risk compliance solutions. These two products, along with others are geared to penetrate the business user, a large potential universe of new users for SAP inside and outside of our installed base. We have been quite successful to date with our corporate performance management solutions and have augmented our functionality with the recent acquisition of Pilot Software. Governance, risk and compliance, or GRC, has also become a topic receiving a lot of attention. Our GRC suite has expanded well beyond our 2006 acquisition of Versa and includes access controls, process controls, risk management, GTS and emission management. Our growth in this area has been significant triple-digit revenue growth year over year and over 2,000 customers today from both within and outside of our installed base. We also continued to establish a groundbreaking relationship with Cisco around their services-oriented network architecture and SAP GRC, with more to come this year. Let me now finish with our new business. Our A1S product launch is not a traditional one with a big bang introduction. Our new mid-market product comes with a complete new business model and a new go-to-market approach. Therefore, a phased product launch is required. We are currently seeking comprehensive customer and partner feedback that we will incorporate into our new mid-market solution. This includes feedback regarding service and support on demand functionality, consulting requirements, and embedded learning. We are on track for bringing this product to market and expect its volume ready at the beginning of 2008. Thank you and we will now take your questions.
Operator: (Operator Instructions) Our first question comes from Mr. Raimo Lenschow of Merrill Lynch. Please go ahead.
Raimo Lenschow - Merrill Lynch: Good afternoon. Two questions, if I may; first of all, Werner, could you maybe talk a little bit about the share buy-back program? Obviously your share price was quite depressed in Q1 but you still bought back less than in Q106. What are the plans there, especially as the cash position is now at a very high level? And a question for Henning, you talked about the introduction of A1S as a proper volume product in 2008. Will we see anything in terms of having an idea about the look and feel for the product? At an earlier point in the past you mentioned that the launch was in Q1 or maybe Q2, the first half of 2007. Thanks.
Werner Brandt: I will start with the first question. You know that we bough back 9.6 million shares in Q1 this year. We had 10.1 million in the first quarter of 2006, so that is not a big swing. I must admit that in the first quarter of 2006, we had a share price of more than EUR41. Now we have a share price of EUR35 per share if you look to the average price we bought it back. To be honest, if I would have known in the first quarter of 2006 how the share price would have developed, we would have waited and would have now seen a much higher share buy-back activity in this current quarter of 2007. Looking forward, I think we stated that we will continue to buy back. I cannot give you detailed numbers now for the second quarter but for the full year, I assume that we will see similar patterns as we saw in 2006.
Henning Kagermann: For A1S, it is about volume readiness when I speak about the beginning of 2008, and obviously we will show the product much earlier to different groups of stakeholders. So if you are interested, please visit us at Atlanta. We have a financial analyst meeting there and at the end, we will have a short demo of the product already.
Stefan Gruber: Thank you. Let’s go to the next question, please.
Operator: Thank you. The next question comes from Mr. Charles Di Bona of Sanford Bernstein. Please go ahead.
Charles Di Bona - Sanford Bernstein: Henning, we’re looking forward to seeing the product next week but could you talk a little bit about the EUR300 million to EUR400 million of spending? Could you give us a little more color on directionally what areas we should look at, the timing of that and maybe whether or not some of that started to show up in your Q1 results as well?
Henning Kagermann: Yes, we had about EUR20 million in the first quarter, so you see it is more back-end loaded, as expected. I said that we will do this carefully and as you have seen, we have so far showed it to select groups of customers and partners, so that is not too much money you have to spend. On the other side, you have also seen some marketing activities, et cetera. You will see more spending I would say during this year over the quarters and definitely next year.
Werner Brandt: And the EUR23 million is mainly related to marketing and the set up of the volume business infrastructure.
Stefan Gruber: Thank you. Next question, please.
Operator: Thank you. The next question comes from Mr. Johannes [Reece] from [Comma] Investment. Please go ahead.
Johannes Reece - Comma Investment: Good afternoon. Maybe a couple of short questions. Werner, maybe you could give some additional in that with why the cash flow has not totally followed the [inaudible]. Secondly, maybe an implication why Germany, despite a definitely improving economy, has shown that comparable low growth rate? I know last year Germany has shown a strong start to the year, but nevertheless it is slightly disappointing. Therefore, any indication for the outlook for the coming quarters? On the U.S., we have heard from IBM some negative comments about the spending at the corporate side, especially in March. Have you also seen some weakness there? Your figures speak another language, so maybe a comment on this side. Finally, how has developed the Business One in that sense, the traditional All-in-One on the new platform is available already at the beginning of the year? Is that in plan? Sorry, a couple of questions, but --
Werner Brandt: Maybe I can start with the cash flow. I think the main reason is that we had an increase in working capital compared to the first quarter, a relative increase to the first quarter of 2006. We had a strong increase in deferred revenue, for example, and other items. So that is mainly the reason for the fact that we have not a stronger -- an increase in cash flow provided by continuing operations.
Leo Apotheker: Let me maybe try to answer your two questions on Germany and the U.S. Let me start with the U.S. first. We did not see any material change in the spending environment in the U.S. It was as expected, not better, not worse -- steady as it goes. We have no reason to believe that that will change. In Germany, yes, you are right. The first quarter was worse but I would like to point you back to the discussion that we had at the beginning of the year when we talked about Germany. We indicated that Germany would be in the single-digit growth rate in 2007 last year and we are still confident that we will make that number happen.
Johannes Reece - Comma Investment: So the improving economy does not show any positive impacts on your business?
Leo Apotheker: Well, we have a very high market share in Germany and we have already shown quite a lot of resilience in our German business. We are moving into new areas in the business in the mid-market, so we still have quite a lot of space. The average deal size there is a little bit lower, so altogether if you combine all of these factors, I think that a single-digit growth rate, as we said in the beginning of the year, is a very good result for our very strong organization.
Henning Kagermann: It might be a little bit to the products, Business One is on track. You know that we bring a new release this year. All-in-One was already announced and we shipped. With All-in-One, it is just following the suite, so to say, so it is now on ERP. It will be augmented by CRM during the year and it will be, or it will participate on the launch of a simplified U.I. based on which client as we showed it let’s say some months ago. It incorporates already all innovations of ERP. It has switch frameworks, the announcement package delivery, et cetera. I think it is I would say the most modern mid-market product today available in the market, which combines proven functionality and really breakthrough innovation, available for all industries and all countries, it is important to note. This is more or less the product which is mainly bringing the revenue to the mid-market. A1S, which we touched earlier, this is the product which starts to bring some revenue in 2008 but not in 2007.
Johannes Reece - Comma Investment: Maybe a short add-on. Do you expect that A1, because it is now ready and available everywhere and for all verticals on the new structure that its server could be a strong driver for the remainder of the year?
Henning Kagermann: At least we expect that we grow faster than last year in the mid-market and A1 is a driver. If both comes together, the new SOA-based ERPs, the CRM, and the new look-and-feel, it is a very, very competitive product.
Stefan Gruber: Thank you. Next question, please.
Operator: Thank you. The next question comes from Mr. Gary Rollo from Morgan Stanley. Please go ahead.
Gary Rollo - Morgan Stanley: Good afternoon. I have a couple of questions, if I may. The first one is understanding the message you are giving us on the consulting business. You mentioned, I think Werner, that you expected the profitability of that business to recover. You also mentioned that I think you put quite a few heads into the business. Is that in anticipation of a return to normal growth rates in that business, consistent with what we have seen over the last couple of quarters? Or should we look at the performance on the revenue side of this quarter as indicative that that is the kind of run rate of that business that you guys see? So first I will start with that.
Werner Brandt: Let me try to answer the question. What you see in Q1 in the consulting is not what you should view as the normal performance. Because we had all of these quarters of double-digit growth, we needed to add more consulting capability into our service organization to respond to increased customer demand, and you know how it is. We want to provide a very high level of customer service so we put these people into boot camps and train them with a significant effort in order to then turn them around and provide an adequate level of service to our customers. So over the next quarter, you will see a return to more normal growth rates in the consulting business as these people come back in stream and generate revenues that you would expect, an additional increase then in our margin from the consulting business.
Gary Rollo - Morgan Stanley: Okay, thanks. I will follow up; in the past, you have talked a little bit about how you see your pipeline from the point of view of trying to extend some confidence about full-year figures. Despite what is clearly out-performance versus expectations here today, would you be prepared to talk a little bit about your order entry? Is it running faster than your revenue growth rate right now? Do you want to give us some color, a little bit of color on what you see in your pipeline?
Werner Brandt: The pipeline continues to develop according to the business, so we look forward to a pipeline that helps us to support our guidance. Our order entry goes in the same direction, so there is nothing special to report here. It moves around at the same speed as the business.
Stefan Gruber: Thank you. Next question, please.
Operator: Thank you. The next question comes from Mr. Mohammed Moawalla from Goldman Sachs. Please go ahead.
Mohammed Moawalla - Goldman Sachs: Yes, good morning. I just had a question regarding the Americas business. I know you do not break out the U.S. licenses, but if I recall, Latin America had a very strong Q1 last year. Can you just give us a sense of perhaps the magnitude of the performance? Is there a step change occurring there in that region in terms of the growth?
Leo Apotheker: Latin America performed well. I do not know what you understand by step change but the Latin American organization continues to perform well and one of the main contracts that I talked about earlier on actually came from Latin America.
Mohammed Moawalla - Goldman Sachs: I just wanted to follow up, Leo, on the U.S. Given the strength that you saw this quarter, to what extent was there a sort of a catch up of some of the disappointment that you saw in Q4 and is this a more realistic rate of growth that you expect for this business going forward?
Leo Apotheker: Well, you know, Mohammed, how business is. Each quarter you always have the normal deal and one or the other that comes in or does not come in, so it is extremely difficult to really predict it down to the dot. We were frankly disappointed in Q4 because a few public sector deals slipped. They came in. We had no slippages of any significance in this quarter. I would caution everyone to start extrapolating one number from one quarter into the future. I think if you look back at the trends over the past quarters, that is a good indicator of the business.
Stefan Gruber: Thank you. Next question, please.
Operator: Thank you. The next question comes from Mr. Marc Geall from Citigroup. Please go ahead.
Marc Geall - Citigroup: Good morning, everyone. A quick question to Werner. The CapEx rate seems to have picked up a little bit this quarter versus last year. Does that have anything to do with investments in A1S or is that just a general pick-up in CapEx for the core business?
Werner Brandt: It is a general pick-up in CapEx for the core business. It is mainly related to building activities and investment in IT infrastructure. A portion of it might be related to the new business, but it is really minimal.
Marc Geall - Citigroup: You also commented in your first commentary that you had obviously see EUR90 million of the EUR31 million recovered, if you like, this quarter and that there was not an expectation to see anymore. Was that what I should have been reading into your comments?
Werner Brandt: There is not more anticipated to come on the software side.
Marc Geall - Citigroup: Does that mean that the -- obviously the delta to the 31 is not going to be recovered, or it just won’t be put to software?
Werner Brandt: Yes.
Marc Geall - Citigroup: Thank you.
Stefan Gruber: Thank you. Next question, please.
Operator: Thank you. The next question comes from Mr. John McPeake from Prudential Group. Please go ahead.
John McPeake - Prudential Securities: Thank you. Could you characterize and give us a rough impact of the one subscription deal that you mentioned in your prepared remarks?
Werner Brandt: It was one deal that happened here in Europe. It is not a GA. It is a regular subscription deal with an old SAP customer who is probably now going to implement the third generation of SAP software that he is using.
John McPeake - Prudential Securities: And how much of an impact did it have to revenues? Was it substantive or, in terms of it was recognized as license versus subscription?
Werner Brandt: No, no, it was recognized as subscription.
John McPeake - Prudential Securities: That’s what I mean. How much would it -- what would have been the revenue impact if it was recognized as license?
Werner Brandt: We do not do this exercise. For us, it is subscription revenue according to U.S. GAAP.
John McPeake - Prudential Securities: Thank you.
Stefan Gruber: Thank you. Next question, please.
Operator: Thank you. The next question comes from Mr. Michael Briest from UBS. Please go ahead.
Michael Briest - UBS: Good afternoon. A couple of questions. Leo, in the past you have given us the volume growth analyzed between the direct and the indirect channel. I think you mentioned it was 15% in aggregate. Could you say what the direct and the indirect contribution was?
Leo Apotheker: I can look it up if you give me a few minutes.
Michael Briest - UBS: And then a question for Henning, really, on the sales reorganization in light of Shai Agassi’s departure. Could you talk about whether there was any disruption from that or you anticipate any changes in execution as a result of it?
Henning Kagermann: No, I do not expect this. We were building the team more or less on the fly. That tells you that it was obvious whom to pick because these are the gentlemen that are driving this development department since some time. We have taken the opportunity to streamline the organization in some areas. For example, for [inaudible], as he is a business user, all activities we have centered there, and we have also streamlined, as you have seen, the activities in marketing on the LEO and the partner organization on the LEO, and a few other stuff. So we did all of this I would say within a few days and people are just continuing to work and there is no disruption.
Michael Briest - UBS: Okay, and one final one for Werner. Could you give us a sense of what the stock-based compensation plan cost and intangibles amortization would have been this quarter, or for the full year? I imagine you are also accruing for the 2010 incentive scheme. It might just help us understand a bit about the movement in underlying costs.
Werner Brandt: If you compare both years 2006 and 2007, both elements are lower than the P&L impact we saw in 2006. If you refer to the LTI 20-10 plan, then what we do is normally look to the share price evolution and on a quarterly basis, book an accrual and if you look to the share price evolution and compare it between 2006 and 2007, you would see that the expense level is significantly lower than we had it last year.
Michael Briest - UBS: You’d expect that for the full year, would you as well?
Werner Brandt: It depends on the share price. We cannot predict the share price now in order to provide you an indication of where we would end up.
Leo Apotheker: Just to give you the answer to your question, from a pure order, total order value point of view, direct sales channel decreased, the share of it decreased by 2%. The indirect channel therefore increased by 2%. It now represents about 11%.
Michael Briest - UBS: Thank you.
Stefan Gruber: Thank you. Next question, please.
Operator: Thank you. The next question comes from Mr. Rick Sherlund of Gullian Group. Please go ahead.
Rick Sherlund - Gullian Group: Thanks. First, Leo, I wonder if you could just expand a little more -- we are curious in the U.S. if the slowing economy has any impact on overall tech spending, and it sounds like from your comments that you have not seen any indication of that. Second, on A1S, if you could just talk a little more about what it is that you need to do to release the product, kind of where we stand with it and if you have any additional update comments for us on what you think the potential is for that product, how fast you think that might ramp up in ’08 and beyond.
Leo Apotheker: Let me answer the U.S. economy first and then handing it over to give you some more color on A1S. You know, Rick, it has not really changed since the last time we met six weeks ago or something in Las Vegas. There is a healthy undercurrent of tech spending. It is not exuberant and it does not really move that dramatically. I think people have their plans. They do these things in a very prudent and calculated way. It is like any other major capital expense that people do. They sense the opportunity to use and to apply service-oriented architecture based software to really renovate and in certain cases innovate complete business models. These are things that are done in a server fashion and therefore, that is why we actually benefit from good traction in the market and high win rates. I have not sensed yet an explosion in the pipeline that would substantiate a tendency I would say that a strong economy post even exponential pipeline growth. On the other hand, we are looking at a good pipeline that helps us to substantiate our forecast for the remainder of the year.
Henning Kagermann: As to the product, Rick, it is what you do in this case is you are not trying to launch an entirely complete product. First of all, you never do this, but in this case it is not only the product. We have to take feedback for the entire process -- how we position it, how we configure it, how we operate it, how we set it up, how we maintain it, how we train it, et cetera, because all of this will be done by SAP, so from that point of view it is much, much more than just launching the product. People have to understand. On the other side, we will not allow modification. That means we have to test now with clients and we are doing it. What are the questions, the business questions people are asking? Is our business configuration complete enough in order to set it up with a few questions? If not, we have to do something there. First impression is the following: from a functionality point of view, it was interesting to see. We believe we need a second package to complete functionality, as the feedback from clients was it is more too much functionality than too less, so this is not -- I would see entire set-up, including the right performance, including the perfect UI ,which is if you -- what we try to do is that more or less, if you can use one screen, you can use all of them, and so we have to see that this coherence in navigation is across all of them. The business configuration, that the [maintenance] is fast enough. That takes too long still. Those types of things. So less I would say on functionality, more on all this stuff around which is new to us.
Stefan Gruber: Thank you. Let’s take two final questions.
Operator: Thank you. The next question comes from Mr. Mark Bryan of Deutsche Bank. Please go ahead.
Mark Bryan - Deutsche Bank: Thanks for taking the question. The sales and marketing headcount is obviously a relatively aggressive increase on recent quarters. I was just wondering if you could dig a bit deeper into that to give us an indication, perhaps regionally, where if there is any more focus in one region or another and indeed, by product line as well if possible. Also, can you remind me, what is your target for headcount growth for the full year?
Werner Brandt: The target for headcount growth for the full year, as mentioned at the beginning of January, is 3,500. If you look to the additional headcount employed in the sales and marketing arena between Q1 2006 and the end of March, 2007, then the majority is in the sales arena. If you look to the regional split, then the majority of this is again in the Americas, where we get the highest growth rates from. We do not hire for specific products. It is more on the e-side, what we do here, and that drives the growth in these regions.
Stefan Gruber: Thank you. Next question, please.
Operator: Thank you. The next question comes from Mr. Jochen Klusmann from BHF Bank. Please go ahead.
Jochen Klusmann - BHF Bank: Hi, a couple of questions. First one is about A1S. Could you give us a little bit idea of how the ramp-up costs rolled in? Let’s say in the next few quarters, I mean, I guess -- are they now going to stay at $23 million for the rest of the year? Maybe just to get a little bit of flavor how that is ramping up. Could you also provide us some numbers for your SME channel, where we actually stand if we talk in terms of Business One customers and A1 customers?
Henning Kagermann: From ramp-up costs, it is a little difficult to predict. I guess it will be more than in the first quarter, definitely, but as I said, it depends how we structure the ramp-up. We have not to do everything sequentially. We can accelerate things, et cetera. It is difficult for me. I guess it is more in the second quarter than in the first, but that is all that I can say today.
Leo Apotheker: To give you a flavor to the current SME portfolio, we current have a total of 2,350 channel partners and about 23,400 customers, divided roughly 10,000 All-in-One and the remainder Business One.
Jochen Klusmann - BHF Bank: Okay, that was 23,400?
Leo Apotheker: 23,400.
Jochen Klusmann - BHF Bank: Thank you.
Stefan Gruber: Thank you very much, and this concludes today’s earnings call. Thank you for your questions and we look forward to seeing you next week in Atlanta. Thank you and good night.
Operator: Ladies and gentlemen, that concludes today’s conference call. Thanks for participating. You may now disconnect.